Operator: Good morning, and welcome to the Bausch + Lomb's First Quarter 2024 Earnings Call. [Operator Instructions] Please note this event is being recorded.
 I would now like to turn the conference over to George Gadkowski, Vice President of Investor Relations and Business Insights. Please go ahead. 
George Gadkowski: Thank you. Good morning, everyone, and welcome to our first quarter 2024 financial results conference call.
 Participating on today's call are Chairman and Chief Executive Officer, Mr. Brent Saunders; and Chief Financial Officer, Mr. Osama Eldessouky. In addition to this live webcast, a copy of today's slide presentation and a replay of this conference call will be available on our website under the Investor Relations section.
 Before we begin, I would like to remind you that our presentation today contains forward-looking information. We would ask that you take a moment to read the forward-looking legend at the beginning of our presentation as it contains important information.
 This presentation contains non-GAAP financial measures and ratios. For more information about these measures and ratios, please refer to Slide 1 of the presentation. Non-GAAP reconciliations can be found in the appendix to the presentation posted on our website.
 The financial guidance in this presentation is effective as of today only. It is our policy to generally not update guidance until the following quarter unless required by law, and not to update or affirm guidance other than to broadly disseminated public disclosure.
 With that, it's my pleasure to turn the call over to Brent. 
Brenton L. Saunders: Thank you, George, and thank you, everyone, for joining us. Today marks nearly 1-year since my first earnings call following my return to Bausch + Lomb. We've accomplished quite a bit in that time frame, which we'll cover as we review first quarter performance and highlight growth drivers for the remainder of the year. These areas of focus are familiar to you by now. and continue to drive our strategy.
 Let's start with revenue. We saw 20% top line growth on a constant currency basis for the quarter, thanks to outperformance from each of our business units. Our quality of growth isn't limited to reporting segments, as we delivered solid results across geographies. In other words, we're in an enviable position of not being reliant on 1 business or region as drivers of our performance.
 Our methodical approach to improving how we make and sell things is bearing fruit. Our renewed focus on launch excellence is reflected in early returns for Vivo and ongoing expansion of our latest daily SiHy contact lens offerings. Operationally, we're making strides on improving service levels within our own network.
 And while contract manufacturing continues to present a challenge, we have plans in motion to lessen our reliance on third parties over time. Finally, our relentless focus on returning to our roots by prioritizing innovation is producing tangible results. Our enVista Aspire IOL has made a strong market entry, and we have a steady stream of premium IOL launches planned for 2026.
 Last quarter, I mentioned a talent infusion for our R&D team, and that hasn't let up. We continue to make prominent hires throughout 2024. The scientific community recognizes our pivot and people want to be part of what we're building.
 The main takeaway from our roadmap slide is the progress indicator. While caution against assuming every Phase 1 box has been checked. After an exhaustive effort to rethink how we work, the rewiring process is largely complete. That means we're gearing up for Phase 2, Innovate & Execute.
 I'd like to acknowledge the human aspect of an undertaking like this. Stating the obvious roadmaps only work if people follow them. When I rejoined Bausch + Lomb, I made it very clear that in order for the company to achieve its full potential, we needed to make some tough decisions, while operating at a speed some weren't accustomed to.
 Instead of shying away from a break with the status quo, colleagues around the world embraced it. Under the direction of a refreshed leadership team, our workforce of 13,000 has met every challenge along the way and remain focused on the opportunity in front of us.
 I prefer always looking forward, but sometimes it's important to look back. Last May, in the same setting, I was clear about the challenges we faced. Underutilization was holding us back. We had a robust global commercial network and supply chain, but not enough product flow. That led to inefficiencies and jeopardize some of our customer relationships we've built over decades. We needed to reinvent our company in a thoughtful, but urgent way.
 I'm proud of what we've been able to accomplish in the 363 days since. We addressed our supply chain issues head on, with the understanding that turning our manufacturing and distribution network into a competitive advantage would take years, not months. As a result, we now have a more stable supply of products.
 We've also augmented our supply with the introduction of new and in the case of Xiidra and Blink acquired products. These offerings address some of the most blaring needs in eye health, demonstrate our commitment to innovation and position us for sustained growth and category leadership. Our reinvention is resonating with our most important audience, the eye care professionals who use prescribe and recommend our products.
 On my Listening & Learning Tour 1-year ago, supply concerns and lack of awareness around our priorities often came to the forefront. My experience at the recent American Society of Cataract and Refractive Surgery Annual Meeting was the exact opposite.
 In nearly every interaction, customer shared an appreciation of our efforts to predictively deliver the products and services they've come to rely on, and recognized our increasingly important role in bringing new solutions to market. Their excitement about what the future holds for Bausch + Lomb was clear.
 I'll give a brief overview of the financials before Sam gets into specifics. Our 20% constant currency revenue growth is shown here, which, as previously noted, was driven by our holistic strength, that's reflected in our business segment performance, with 8% constant currency revenue growth for Surgical, 11% for Vision Care and 66% for Pharmaceuticals.
 As inside our revenue, Pharmaceuticals still showed impressive organic revenue growth on a year-over-year basis at 18%. Our key franchises continue to outperform and drive home the holistic theme given the spread across business units.
 INFUSE 1-day lenses are increasingly a preferred option for optometrists and our enVista family of IOL as surgeons excited for expansion in that category. Brands that have demonstrated consistent growth in areas of ongoing opportunity, most notably, Lumify and PreserVision, our high-margin performers that bolster the top and bottom line.
 Now let me turn it over to Sam. 
Osama Eldessouky: Thank you, Brent, and good morning, everyone. Before we begin, please note that most of my comments today will be focused on growth expressed in constant currency basis.
 Turning now to our financial results on Slide 8. We're pleased to report another quarter of solid revenue growth across each of our segments and key product franchises. Our business has continued the momentum coming out of 2023, and we're off to a strong start in 2024.
 Total company revenue of $1.099 billion for the quarter, reflects growth of 20% on a constant currency basis. As I have previously discussed and as Brent also mentioned, we're excited about the opportunity ahead of us in 2024 with the growth of recent launches and new and upcoming products.
 We're continuing to make improvements in our supply chain and we remain focused on executing our strategy to drive revenue growth and sustainable margin expansion. For the first quarter, currency was a headwind of $20 million to revenue. Despite the higher-than-expected currency headwinds, we delivered more than $1 billion in revenue in the quarter.
 Now let's discuss the results in each of our segments. Vision Care first quarter revenue of $635 million increased by 11% on a constant currency basis, driven by growth in both the consumer and contact lens portfolios. The consumer business again demonstrated strong performance, both in the U.S. and internationally, with growth of 15% on a constant currency basis in Q1.
 We continue to see growth across our key franchises, including eye vitamins, which grew by 7% in the quarter and Lumify, which grew by 16% in the quarter, both expressed in constant currency. Our consumer dry eye portfolio delivered $82 million in revenue in the quarter, representing 25% organic growth.
 The contact lens constant currency revenue growth was 6%. The reported revenue from our Daily SiHy lenses grew by 68% in the quarter and 73% on a constant currency basis. Our Daily SiHy multifocal lens has now been launched in the U.S. and Japan, and has added to the solid performance of the Daily SiHy sphere. We're excited by the growth of this franchise as we continue the global rollout and further expand the family with the upcoming launch of the Daily SiHy toric.
 Moving now to the Surgical segment. First quarter revenue was $197 million, an increase of 8% on a constant currency basis. The consumables portfolio grew in the quarter by 9% on a constant currency basis. The growth was mainly driven by surgical packs, where we continue to see solid demand.
 Implantables grew 9% for the quarter on a constant currency basis with our premium IOL portfolio up 30% in constant currency. The IOL portfolio continues to expand with the recent U.S. launch of enVista Aspire, which has made a strong market entry along with the growth of the LuxSmart EDOF lens in Europe and the phased launch of ICH, which has been limited by supply constraints.
 Revenue from equipment was up 5% on a constant currency basis, mainly driven by Stellaris system sales. We continue to focus our strategy on retailing upcoming product launches and higher-margin premium categories. We expect to see a steady stream of these launches over the next number of years, which we anticipate will drive revenue growth and sustainable margin expansion.
 Lastly, revenue in the Pharma segment was $267 million for the quarter, which represents constant currency growth of 66%. Miebo delivered $28 million of revenue in the quarter. The launch performance remains incredibly positive, and we're committed to making the investments to drive the stronger adoption.
 Xiidra delivered $79 million in revenue in the first quarter. We continue to make progress in executing our strategy to reestablish Xiidra as a market leader. The Xiidra field force was realigned in the quarter, and we have turned the direct-to-consumer marketing investment back on.
 Although not material to the company's overall results, it's worth noting that the performance of Xiidra was negatively impacted by the disruptions resulting from the cyber attack at Change Healthcare. However, we saw an improvement in scripts, as we exited the quarter and transition to other vendors.
 Brent will elaborate on this, but I want to stress that. Xiidra and Miebo together position us as a leader in dry eye disease, and we're excited about delivering on their full potential. Beyond Miebo and Xiidra, we saw strong growth across other parts of the pharma portfolio. On a constant currency basis, the U.S. generics business grew by 10% and international pharma grew by 7%. As expected, Prolensa declined due to a generic entry into the market during the quarter.
 Now let me walk through some of the key non-GAAP line items. Adjusted gross margin for the first quarter was 63.2%, which was up 320 basis points compared to Q1 '23. The adjusted gross margin improvement was mainly driven by favorable product mix, including Xiidra. This was balanced by pressure driven by the higher inventory costs in our Surgical business.
 In the first quarter, we invested $81 million in adjusted R&D or approximately 7% of revenue. First quarter adjusted EBITDA was $180 million, which represents 28% growth versus the first quarter of 2023. Net interest expense for the quarter was approximately $96 million. Adjusted EPS for the quarter was $0.07. Adjusted cash flow from operations was $48 million in the first quarter, and CapEx was $67 million. The effective tax rate for the quarter was 15%.
 Turning now to our 2024 guidance on Slide 12. We are raising our full year constant currency revenue growth guidance from a range of approximately 12% to 14%, to a range of 30% to 50%. The raise reflects the broad-based strength of our business and the momentum we have seen in the first quarter.
 Our 2024 revenue guidance remains in the range of $4.6 billion to $4.7 billion. This range now absorbs incremental currency headwinds of approximately $50 million relative to our previous guidance. For the full year, we estimate currency headwinds to be approximately $90 million. We are maintaining our guidance for Xiidra to generate approximately $400 million in revenue. Our guidance for Miebo continues to be approximately $95 million of revenue in 2024.
 Shifting to adjusted EBITDA. We are maintaining our adjusted EBITDA guidance for 2024 in the range of $840 million to $890 million, while absorbing approximately $10 million of currency headwinds. Our focus continues to remain on sustainable margin expansion. We expect the expansion to be mainly driven by our strategy to shift mix to high-margin products, our efforts to continue to drive operational excellence and our focus on maintaining cost discipline.
 As we continue to make investments to fully capture the value potential ahead of us, we expect to sustainably build on the margin expansion in 2024 over multiple years with the growth of our recent and upcoming launches. Our Q1 results reflects the phasing we noted during our last earnings call. And I would once again emphasize that there is natural seasonality in our business. We expect our business to build throughout the remainder of the year, with Q4 results expected to be the highest.
 As I mentioned during our last earnings call, as we continue to drive pipeline innovation, we may enter into collaborations with external partners. It should be noted that our adjusted EBITDA guidance does not reflect any onetime upfront payments that may be made as part of such arrangements.
 In terms of other key assumptions underlying our guidance, as noted in the last quarter, we expect adjusted gross margin to be approximately 62%. We anticipate investment in R&D to be approximately 7% to 8% of revenue, and interest expense to be approximately $385 million for the full year. That said, we will continue to monitor Fed actions on interest rates for the remainder of 2024.
 We continue to expect our adjusted tax rate to be roughly 15% and full year CapEx is expected to be approximately $250 million. To summarize, the business delivered solid results in the quarter, and we're off to a strong start in 2024. We remain committed to our strategy to drive growth and sustainable margin expansion.
 And now I'll turn the call back to Brent. 
Brenton L. Saunders: Thanks, Sam. Let's highlight some 2024 growth drivers, including the upcoming launch of a new and differentiated OTC offering. As Sam mentioned, Miebo has shown significant promise with Q1 revenues of $28 million. Just last week, we learned that 2 of the top 3 Medicare providers will begin covering Miebo, 1 starting today, the other July 1, that's approximately 2 quarters sooner than anticipated, and means coverage will jump to roughly 50% by midyear for this population.
 While we're in early innings, excitement around this medication is real and we expect Miebo will become a cornerstone of our dry eye franchise for years to come. Sam also touched on how to interpret Xiidra performance in Q1, which I'll add some color too.
 There are 3 contributing factors to consider. First, we realized our entire field force with new territories established in early February. While most prescribers were seeing new faces, we expect the developing relationships will pay dividends going forward.
 Second, patients faced the highest deductibles in the first quarter, which naturally results in fewer prescriptions, a cycle you're all familiar with. Third, while the incident involved in Change Healthcare did not have a material impact on Bausch + Lomb, there was a nonquantifiable effect given patient access to Xiidra was disrupted.
 All that said, there are encouraging signs as we continue to rehabilitate and reenergize the brand. Our commitment to making Miebo and Xiidra, the most prescribed options for evaporative and inflammatory dry eye disease has a labor. We've made a significant investment in the comprehensive sales approach that will increase in prominence as the year progresses and as more dry eye sufferers seek treatment for chronically underdiagnosed condition.
 For the 1 million suffering from dry eyes, who might not require pharmaceutical intervention, we're excited to introduce a new and different treatment option, Blink NutriTears, which is a daily nutritional supplement formulated to address the symptoms of dry eyes and as little as 2 to 4 weeks.
 For those who prefers to eye drops, or already taking daily supplements, NutriTears could be a convenient solution. While supplements are often unproven, NutriTears is grounded in data. Last week, we announced the results of a clinical study evaluating the safety and efficacy of NutriTears. The study met both primary endpoints in addition to secondary endpoints, which shouldn't come as a surprise. We're a company that relies on science when bringing new options to consumers. 
 NutriTears, which we anticipate will launch in the next few months will be the latest addition to our growing nutraceutical franchise, which is anchored by PreserVision. With the addition of NutriTears, we're clearly not resting on our laurels when considering the future of our industry-leading dry eye platform, like the opposite.
 Given the market potential, if there is repeating that will soon have something for everyone when it comes to treating a common, but not commonly addressed issue. Simply put, our blend of prescription and OTC offerings separates us from the dry eye pack, and it's not even close.
 Keeping with the theme of new products, we're on the precipice of a meaningful entry into premium IOLs. We anticipate that these high-margin offerings will strengthen our surgical portfolio that is increasingly focused on cutting-edge technology and responsive to the evolving needs of ophthalmic surgeons.
 Our enVista Envy trifocal is expected to be available in the U.S. later this year. And in Europe, we plan to launch LuxLife brand in 2025. We started enrolling a clinical study for enVista Beyond and extended depth of focus IOL with an expected U.S. launch in 2026.
 Our fourth coming premium IOL offerings are reflected on our familiar launch slide, which continues to widen as our renewed commitment to innovation takes hold. Just last week, we announced FDA approval for Lumify Preservative Free, a prime example of harnessing a brand's momentum by extending its reach.
 The optimism around our future is warranted, we're heading in the right direction. Significant work remains, but the path burn continues to be validated by our results stakeholder feedback and buy-in from 13,000 colleagues around the world.
 Operator let's open the line for questions. 
Operator: [Operator Instructions] The first question comes from Patrick Wood with Morgan Stanley. 
Keonhee Kim: Amazing. I just got a couple. So I guess the thing that sort of has jumped out over the last certainly a few quarters has been the breadth of the growth across all the different divisions rather than like 1. I guess is that a composition that you expect going forward, i.e., share gains kind of across the bulk of the different sub lines and geographies. That sounds like the message. Am I right on that? 
Brenton L. Saunders: Yes. So Patrick, it's Brent. Thank you. Yes, I think you hit on a theme. I think when I joined over a year ago and had our first earnings call about a year ago, I talked about reenergizing and refocusing the organization, while we also invested in innovation and got ready for probably the most robust new product launch cycle.
 And so let me just give you some numbers if you look at the performance this quarter. Consumer, these are all constant currency. Consumer plus 15, contact lenses plus 6, Surgical plus 8, Pharma plus 66, excluding Xiidra plus 18, geographies, Asia plus 7%; Europe, plus 9%; Latin America plus 17; and the U.S. plus 33.
 So I think that's pretty broad, high-quality growth across the world, right, across all our businesses around the world. And the way you do that is you make the most of everything. You figure out how to reinvest in product and promotion, how to put the customer at the center of our universe, how to make your sales forces the most important people in the company and to really focus on execution. And so that's what we're doing in our reenergized company, and we expect that to continue. 
Patrick Wood: Amazing. And then just a second one. Miebo, I mean, really strong start of the year. I'm just curious, there's a lot of noise when you first launch a products between refill rates and things like that. But I'm thinking at the start of the year relative to the guide, is there a little bit of conservatism? Or is there any reason that we shouldn't see a continued pickup in sequential growth as you move through the quarters of this year for Miebo? 
Brenton L. Saunders: Yes. So Patrick, you're right. Look, I just want to remind just -- you didn't ask it this way, but let me try to answer it. When you think about where we are with Miebo and even Xiidra, right, we've had about 2 quarters of both products in the market. So it's really early, right?
 We're in the first quarter of the year as well. And I think we're off to an amazing start with Miebo, Xiidra still a work in progress. But I think as you look at our focus on execution, just by the numbers I just gave you, right, I think we have a lot of confidence that we can execute, and we can deliver.
 And so maybe there's some conservatism there, but I think it's too early to call it up, but just yet, right? It's just the first quarter. We have a brand-new field force. We have new technology. We have reps with new call patterns seeing new physicians. So there's a lot to like, but there's a lot to focus on an execution basis before you get too excited. 
Patrick Wood: Love it. This show the feels better. 
Brenton L. Saunders: Yes. Thank you. It is. It's much better. I appreciate it. 
Operator: The next question is from Larry Biegelsen with Wells Fargo. 
Unknown Analyst: It's Lei calling in for Larry. Congrats on a good start to the year. Just 2 questions. One on Xiidra and Brent touched on this just briefly. You kept your guidance of $400 million and talked about kind of the pieces that affect Q1 sales.
 What gives you the confidence that you get to $400 million? How do you get there? And what should we look for in prescription trends? I think previously, you talked about maybe stabilizing those prescription volume in first half and returning that to growth in second half. How do we see that play out? 
Brenton L. Saunders: Yes. So Lei, I appreciate the question. And as I was just mentioning to Patrick, I think we're super excited about the Miebo performance in the first quarter. And as I said, Xiidra is still a work in progress.
 And as I said in the script, we had -- Xiidra is the only product because of the TSAs with Novartis that were still in effect that use Change Healthcare to manage copay cards and administration at pharmacy. And as you know, Change went down, right?
 And if you look at the weeklies as soon as Change went down, you see the significant impact on script trends for Xiidra. Miebo does not use Change. We use Blink. We quickly moved and the team worked very hard to transition away from Change, but that took a few weeks. It frustrated doctors when patients went to pharmacy and couldn't -- and had to pay full load or full list price. And it was administrative mess for patients and for physicians.
 And so couple that with a brand-new field force with new territories and new call patterns. And then first quarter seasonality, Xiidra had a difficult going in the first quarter. We do expect to see that come back in the second quarter. And so yes, I guess you could look at the $400 million guidance and say, that looks a little aggressive at this point. But we're not ready to call it down. I think our team is absolutely focused on meeting their commitment, and we want to continue to invest to do that.
 So we have a lot of things happening with Xiidra in the second quarter. And I think you'll see a sequential improvement as we go into the third and fourth quarter. So I get it. I get why people may ask that question, but first quarter of the year, we're not willing to take Miebo up, and we don't want to take Xiidra down. We want to hold our feet to the fire and really focus on execution. But we'll update you in the next quarter and give you some better color, once we've seen clean performance absent Change in sales force realignment. 
Unknown Analyst: Okay. That's super helpful. My second question is on the guidance. Our math implies that in Q1, your organic sales growth was somewhere in the low double digits. Your guidance seems to imply that organic growth would slow a bit for the rest of the year, maybe closer to mid- or mid- to high single digit. So one, can you just confirm that math? And two, what flows from Q1 to the rest of the year? 
Osama Eldessouky: This is Sam. And on the organic growth, and really, I'm going to focus on Xiidra here. So as we said, Xiidra was about $79 million. Brent already touched on it from a pharma business, when you think about constant currency growth of 66%, that get to you about 18%.
 When you look at our overall performance for this quarter, we put up 20% constant currency. Xiidra is about 800 basis points contribution to that. So that gets you about -- roughly about 12% when you take Xiidra out. And if you look at the full year guidance, now with our increasing guidance of 13% to 15%, if you take the midpoint of that guidance of 14% and you do the math on Xiidra, that's a just roughly about 8% organic for the full year.
 So really seeing the momentum -- we're carrying the momentum forward throughout the -- there's puts and takes as any year, but still early in the year, and we're carrying the momentum with us for the next 3 quarters. 
Unknown Analyst: Okay. So it sounds like there's perhaps some conservatism going from 12% organic growth in Q1 to 8% for the full year. 
Osama Eldessouky: Well, as Brent said, Lei, we're very excited about what we're seeing in the Miebo, we're excited about what we're seeing in our base business, just Brent went through how we're seeing the performance across all 4 businesses and the regions. But again, we're just really balanced here in terms of how we think about the rest of the year, given the fact we're still early in the year. 
Brenton L. Saunders: Yes. I think stay tuned. Let's see where we are in the second quarter and then we can -- we may adjust. But let's execute first. 
Operator: Your next question for today is from Young Li with Jefferies. 
Young Li: All right. Great. Maybe one more on Pharma. Good to see the early outperformance from Miebo and I heard the Xiidra comment has changed. But you have an integrated sales force now between the 2, the largest for dry eye. I wanted to hear a little bit about the potential cross-selling impacts in '24. How much of that $495 million combined revenue number is coming from the benefits of the integrated sales force? 
Brenton L. Saunders: Yes, it's a great question, Young. I think the integrated field force and as you mentioned, the largest field force in the dry eye category by a long shot is a key component of our strategy to win in the market.
 And when you look at how this market has evolved, it's really evaporative dry, where Miebo is the only option and inflammatory dry eye where it's Xiidra versus a sea of cyclosporines, including RESTASIS and some branded reformulated.
 And the goal for us is to win. We have the best option for both types of patients for either type of dry eye. And so Xiidra really has to compete in winning in the inflammatory space, and the competition there is the cyclosporin sea of products. And I think we have the best product there. And then we're the only game in town for inflammatory.
 And so our field reps were trained in late February. They've been in the field for just a few weeks. But early results are anecdotal, some data are very promising. So I think we have to see it play out in the second, third and fourth quarter of the year. But I'm very encouraged. I think we have a great strategy, and the team is executing. 
Young Li: All right. Great. That's very helpful. Maybe turning to contact. Are there still any lingering Lynchburg distribution impact on contact lens growth in the first quarter? Any more impact for the rest of the year. And if you can make some general comments on pricing and supply dynamics and contact lenses for the industry, when does supply catch-up relative to demand, especially for Daily SiHy? 
Brenton L. Saunders: Yes. So thanks for the question. Look, I think -- well, let me start with Lynchburg. Lynchburg is resolved. It is shipping all the orders. Now in fairness, we're back to par on Lynchburg. Now we did make an investment in new technology there. We do need to get that efficiency. And hopefully, we see that pull through in the remainder of the year. But Lynchburg is not a drag on supply at this point. So that's the good news there.
 As we look at performance on a constant currency basis, our dailies were up 73% in the quarter. So really impressive performance, and we're seeing that really broad-based wherever we launch, and to be fair, we're still launching modalities. We still have multifocal launches starting to spread across the world, and we're gearing up for the toric launch in the U.S. and then Rest of the World. So a lot to like there, a lot of great performance and a lot of launches still coming within that family of products.
 I think the second thing I would -- or the third thing I would say is that is probably the best lens in the category, particularly the multifocal. We are hearing tremendous positive feedback from both consumers and the optometry community. So I think we have a real winner in terms of the quality of that particular product.
 With respect to pricing, I think as we look, we're trying to hold pricing relatively stable, very modest price increases around the world. And that's because we have been in a supply-constrained environment. And so for us, it's about -- it's not about taking a price on customers. It's about winning accounts, taking market share. I think we've seen some discounting by others, but that's because they have a lot of inventory in the trade.
 Unfortunately, because of Lynchburg or for not the reasons we like, we don't have a lot of inventory. So everything we can ship, we can sell, everything we sell, we ship. And so I think we're in a pretty solid position and I'm excited to see what happens as we continue to take share and grow that part of our business. 
Operator: Your next question is from Robbie Marcus with JPMorgan. 
Robert Marcus: Two financial ones for me. Maybe first, I was hoping if you could give us the inside look at how the Xiidra integration is going. How did that compare versus your plan? And any way you could tease out what underlying versus reported margins were? 
Brenton L. Saunders: Yes. So I'll take the first part, and maybe Sam can address the second. So the integration is complete. We -- as I mentioned earlier, we fully integrated and realigned the field forces at the end of February. So they've been -- that happened just a few weeks ago. And that went, I think, incredibly well, and the team is energized and excited. I've met with many of them, and they are really happy to be in a dedicated eye care company and have multiple treatment options for physicians to treat patients.
 And so I think that as well, we are now focused on improving our call points, our technologies. We've got the DTC back online and moving. We have a lot of speaker programs happening. And so there's a lot of energy, a lot of focus and a lot of excitement from the sales force and from customers. I hear it quite regularly. 
 So I think we have to see how it performs because it's just a few weeks since it's all happened. But that's good. But remember, we were in TSAs with Novartis. And so we had to stick with change. We had lots of things that perhaps if we didn't have those TSAs, we would move more quickly or faster or with more sense of urgency, but that is now behind us. So we now control our own destiny, and we can focus on execution.
 Sam, do you want to? 
Osama Eldessouky: And Rob, on your second part of your question, when you think about Xiidra, as really was part of our overall strategy to start shifting the mix in our products to higher margins. So you see that play out in our financials this quarter with the -- with gross margin beat of the 63%, the 220 basis point that I referenced earlier, almost half of that is coming out because of the Xiidra mix. So you'll see that benefit year into the gross margin.
 In terms of overall margins on Xiidra, the way I think about we -- I disclosed in the past that it's roughly about mid-30s. I think that is still the same number, and that will be probably as we progress throughout the year, that should expand to about high 30s. 
Robert Marcus: Great. And just one more on free cash flow. It came in negative in the quarter. How do we think about free cash flow generation throughout '24? And then any guidance on full year free cash flow? 
Osama Eldessouky: Yes. So cash for the quarter was roughly about $48 million. That's adjusted cash from operations, so it was positive. I think a couple of things to keep in mind. One is the timing of capital expenditure is a little bit tricky. So it's about -- probably just guide you to probably think about it more of a full year. When you think about capital expenditure, we spent roughly about $67 million or so in the quarter of CapEx. So there was a little bit heavier than our usual run rate in terms of CapEx for Q1.
 That being said, I think we started with a positive cash flow from -- adjusted cash flow from operations in Q1. We are continuing to manage working capital, especially with the inventory. Right now, we're just over $1 billion, to be specific it's about $1.7 billion in terms of inventory.
 And that's -- just to keep in mind, there's 2 elements here. There's a strategic buildup of that inventory coming in, in terms of what we're doing in our Surgical business, and we're going to see that come down as we wrap up '24 into '25. But there's also a step up in our inventory because of the acquisition of Xiidra. 
Operator: Your next question is from Joanne Wuensch with Citi. 
Joanne Wuensch: Can you please contact -- I gave away what I wanted to ask, contact. On the contact lens market, how are you viewing that? How are you viewing where Bausch + Lomb's market share may be going? And maybe a state of the union on the silicone on ONEday lens market and your products there? 
Brenton L. Saunders: Yes. So I think as you look at our performance in the market, as I said earlier, we are in a pretty strong spot with 73% constant currency growth in our Daily SiHy franchise. And as I mentioned, I think important is a lot of momentum there because we have -- the sphere is launched globally now, but we have to continue to launch the multifocal around the world, and now we're preparing for the toric launch in the U.S.
 So as you look at the market, you're looking at mid-single-digit growth and I expect that we should be able to do better than that and gain share. And so we have a long way to go to gain share given our current market position. But I think we have a great product. We have a great mix of products. We have great relationships with the ECPs around the world. We have a great brand in Bausch + Lomb and a lot of heritage.
 So lot to like, but a real focus on execution and particularly on launching the other modalities around our Daily SiHy and INFUSE in the U.S. and Ultra and Daily is how it's branded outside the U.S. And that's a real focus. And I'm proud in the first quarter to say the team delivered 73% growth. So let's hope they can stay focused on their customer and execution and continue to deliver that momentum. 
Operator: The next question is from Vijay Kumar with Evercore ISI. 
Vijay Kumar: I guess 2 sort of margin-related questions. First, maybe, Sam, on gross margins outperformance in Q1, I think the annual guidance implies a step down. Is that the -- is that a function of the FX? Or what causes the gross margin step down in the back half? I think you mentioned something about $10 million of FX headwinds. Was that incremental to gross margin impact? 
Osama Eldessouky: So it's 2 parts. So the first part is we're seeing an improvement in gross margin because of our product mix with the higher margins, and we've seen that play out in Q1. One of the elements that you have to keep in mind as you think about the rest of the year is the inventory balance that I referred to earlier, about call it $1.75 billion that's sitting on the inventory. That number has a component of it, the same for Surgical.
 So if you recall in the last number of quarters, we've been talking about our spot buy, where we've been buying components to be able to ensure that we have sufficient supply on our surgical business. You're seeing that in the growth of 8%, but also, you're seeing that in a higher cost of the inventory and that will take time to bleed through the P&L.
 So that will be an element here that will be offsetting some of the benefits that we're seeing from a product mix. That's why we stayed around that 62% gross margin for the full year. 
Brenton L. Saunders: Yes. And I would add, if I can Sam. We made a very intentional decision here to build inventory, specifically as it relates to product supply for Surgical. As you know, you can't leave a surgeon hanging before surgery. And so one of the things that Sam and I decided when I arrived at is, we were going to prioritize customer relationships and supply to customers wherever possible to regain confidence in our Surgical business. That is paying off with respect to sales and relationships, but it is hurting cash and margin. And so that is something we hope to resolve over time, but it was an intentional decision to prioritize customers. 
Osama Eldessouky: Yes. And Vijay, on your second part of your question in terms of the currency headwind. We've seen improvement in our performance in EBITDA, that was offset by an incremental $10 million of currency headwind that was down in our initial guidance. So in essence, really, we absorbed the -- strengthened the performance of EBITDA with that $10 million headwind. 
Vijay Kumar: That's helpful, Sam. But Brent, one for you. I think in the past, you've said the spend on Miebo is well above the $95 million of revenue guidance. How much of this is sort of onetimer marketing-related -- launch-related spend? And should we expect those spend levels to go down to start seeing leverage in margin contribution in fiscal '25? 
Brenton L. Saunders: Yes. So great question. Look, I think it's too early to figure out how we're going to invest behind Miebo in '25 until we see some more performance. That being said, traditionally, you do invest behind new drug launches for -- 2 or 3 years. We do expect to see improving margins around Miebo and profitability around Miebo improve over time.
 And so 2024 is the low point, 2025, we'll see improvement. And as we get into '26 and '27, you're going to see real margin contribution. And look, we have Miebo for a long time. And so it can become a really significant margin and profitability contributor to the company over the long-term. And so that's what we're building towards. You only get one chance to launch a drug. You only get one chance to set a curve.
 You see the struggles that we have in rehabilitating Xiidra. We don't want to put Miebo in that position ever, right? We want a very strong curve of adoption and profitability in Miebo. And I think we're really off to a good start, better than we had even hoped.
 And so sometimes in pharmaceutical launches. I always say -- I've said this before, I'll say it again. When you see smoke on a fire, you pour gasoline on it because that's how you build the biggest and highest peak sale and profitability over time. 
Operator: Your next question is from Matt Miksic with Barclays. 
Brenton L. Saunders: Hey, Matt. 
Matthew Miksic: Sorry about that. Just one on maybe strategic investment if you would. I know last year, investing in Xiidra and making the decision to kind of push out your plans for driving leverage lower post the spin? What was kind of an important strategic decision that seems to be paying off?
 And of course, there's lots of other things you could be investing in across the businesses that you have strategically. Just wondering what's the appetite at this time or in the next 12 or 18 months before that kind of activity? And then I have one follow-up if I could. 
Brenton L. Saunders: Yes. So you're right, Matt. We did make a big bet on Xiidra. And I have to say, while we still have work to do on Xiidra, the actual investment goes beyond just the product TRxs and sales, it goes to establishing our presence in Xiidra and things like Miebo have clearly benefited from having Xiidra as we launch into more OTC options that will also benefit because of our market position because of Xiidra.
 We have a very loud share of voice in a category, and we want to be a driver of innovation and more solutions for patients. So strategically, a lot to like on execution with actual Xiidra, a lot of work to do. That's how I think about it.
 I think as we look at investing in the business, the top priority right now is investing behind the launches really important launches continuing to support our contact lens business, as I mentioned a few times. We haven't spoken a lot, but Surgical IOLs really important, Aspire -- enVista Aspire, which is our monofocal plus, which launched at the very end of last year is really in the full launch mode right now, and something we're investing behind.
 We've got roughly 600 surgeons trained and implanting lenses and the feedback has been tremendous. As we're doing that, we're getting ready to launch the Lux upgrades around Europe. We have the trifocal, which is Aspire, Envy launching in perhaps the roughly close to the fourth quarter or thereabout. And so that is going to be a great lens, and we're investing in the studies for enVista Beyond, our extended depth of focus. So a lot to do there as well.
 So all of our businesses, including consumer, contact lenses, pharma, surgical all have a really robust new product cycle coming over the next few years, and we want to have launch excellence and really have these products be the future of B&L. And by the way, across the board, they're all higher margin products, which will continue to support our sustained margin improvement as a company for years to come.
 That being said, what are we investing in? We're investing in innovation. We're doing relatively smaller partnerships, R&D collaborations, technology, investments to continue the stream of new product launches beyond the cycle we have today.
 And that is how you create organizational health in a company like Bausch + Lomb is to have a steady stream of innovation and launches year after year, decade after decade. And we see the results of taking a pause for 10 years and what we're dealing with. And we're -- we have to look at the path to make sure we never repeat it. And so that's our key focus and priority for the short-term. 
Matthew Miksic: That's super helpful. 
Brenton L. Saunders: Do you have another question, Matt? 
Matthew Miksic: Yes. You touched on some of the follow -- some of the things I meant to follow-up on here just on the Surgical side. I know that, that is a -- seems to be kind of a longer ramp to sort of get to move the needle to where you want it to be in the Surgical space competitively.
 And I just -- you had some launches. You had some coming in the back half of this year. If you were to sort of, give us a road map for the next 12, 18 months, should we start to think of that business meaningfully lifting as you exit this year, meaningfully lifting in the next couple of quarters? Or is that a bit more of a 12 or 18 months build to sort of show the results of the investments and the new products that you've talked about there? 
Brenton L. Saunders: Yes. I think you're right. It's more of a 12, 18, 24-month build particularly as we move to the offering, the more of the premium IOLs to complete the portfolio. But look, if you look in the quarter, you saw implants up 9%. These are constant currency numbers, tax up 9% and equipment up 5%. And so really nice tactical execution by our team.
 But that being said, I think there's 2 things to consider as we look at particularly margins and profitability of Surgical. One is we're still working through expensive inventory, as Sam mentioned, and that will take some time to work through.
 At the same time, our supply chain team is working at improving our manufacturing and distribution capabilities to get to better margins. And then as I mentioned, mix, as we transition and offer a full range of IOLs, including premiums, they come with a much higher margin.
 And so I think over the next, as you said, 18, 24 months, you'll see a steady improvement in that business, and we're going to become much more competitive over time. So I'm excited about it, but it's not going to be an overnight sensation. It's a lot of hard work and a lot of dedication. But I think we're on the right track. We're early, but we're on the right track. 
Operator: We have time for one last question. And your question comes from Doug Miehm with RBC. 
Douglas Miehm: Yes. My question has to do with Miebo. Brent, you mentioned that I think the 3 top Medicare providers are going to be covering the drug. But I'm wondering on the commercial side, how are things looking there in terms of getting on formularies and that sort of thing? And then as a follow-up, just wondering, do you have the manufacturing capability to provide for what looks like it's going to be a very, very strong Miebo launch here given the outperformance in Q1? 
Brenton L. Saunders: Yes. So great question. So just to correct you, 2 of the other top Medicare plans will begin covering Miebo over the next month or so. And so that will give us about 50% Medicare coverage going into the second half of the year. That's not an over -- just to clarify, that doesn't like flip a switch and change overnight. It takes some time to build a local carriers and policies get implemented, but we're really ahead of schedule on getting Medicare coverage. The team did a great job there.
 And so a lot to like there. On commercial, we're about 50% as well, and that should continue to improve throughout the year. And so -- 2 quarters into a launch, that's -- I don't want to say it's unprecedented, but it's really a great outcome to have that broad-based coverage. But we do want to see that get to 70%, 80% coverage in both categories until we feel good about it. So some work to do there, but a great start.
 In terms of manufacturing capability for Miebo, Miebo has made it a third-party supplier. We have been working with them to improve coverage. We are going to transition to our own facilities. In fact, packaging is being transitioned as we speak to our Tampa facility. And over the next 12, 18 months, it will start to ramp up our own ability to produce. So we'll have 2 sources of supply, which is really what you want to be for an important product like Miebo.
 The other thing I would mention is we've been -- I think the team has done a great job with the Miebo launch without a sample. There was no sample planned prior to my arrival. And so we've been working hard to get a sample, and we should have that in the back half of the year as well.
 So as I think about Miebo, it was the key success factors for us on an execution front were the sales force that was done late February. And so they're off and running. It was getting coverage. We've made good progress. We have about 50-50 commercial Medicare going into the back half of the year, still some work to do, but a big check there. And then it was about getting the sample and getting trial. And so that's coming, too.
 So great performance and $28 million in the first quarter, but a lot to like and get excited about as we continue to invest and build the franchise.
 So thanks, Doug. So I'll just conclude by thanking everyone for joining us. We do feel really good about the first quarter performance and the broad-based nature of the performance, all businesses, all geographies, and we look forward to staying -- keeping you updated as we continue to stay absolutely focused on our customers and execution and driving our business forward. Thank you so much. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.